Operator: Hello, and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. [Operator Instructions] I'd now like to turn the conference over to Mr. Doug Pike, Vice President, Investor Relations. Sir, you may begin.
Douglas J. Pike: Okay. Well, thank you, Shirley. Well, hello, and welcome to LyondellBasell's Fourth Quarter 2013 teleconference. And I'm joined today by Jim Gallogly, our CEO; Karyn Ovelmen, our CFO; and Sergey Vasnetsov, our Senior Vice President of Strategic Planning and Transactions. Before we begin the business discussion, I'd like to point out that a slide presentation accompanies today's call and is available on our website at www.lyondellbasell.com. I'd also like for you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. And these forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made, and are subject to significant risks and uncertainties, and actual results could differ materially from those forward-looking statements. And for more detailed information about the factors that could cause our actual results to differ materially, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at lyondellbasell.com/investorrelations. Reconciliations of non-GAAP financial measures to GAAP financial measures, together with any other applicable disclosures, including the earnings release, are currently available at our website, lyondellbasell.com. Now finally, I'd like to point out that a recording of this call will be available by telephone beginning at 2 p.m. Eastern time today until 11 p.m. Eastern time on March 2 by calling (888) 662-6658 in the United States and (402) 220-6418 outside the United States. And the passcode for both numbers is 3674. Now during today's call, we'll focus on fourth quarter and full year 2013 performance, the current environment and near-term outlook. With that being said, I'll turn the call over to Jim.
James L. Gallogly: Thank you for joining our earnings call. As Doug mentioned, a set of presentation slides accompanies this call and is available on our website. Let's take a look at Slide #4 and review a few financial highlights. The fourth quarter of 2013 results set a record for the period, with EBITDA of $1.54 billion and earnings per share of $2.11. Our EBITDA results exceeded the fourth quarter of 2012 by $278 million. Although we had record performance, the results were negatively impacted by typical seasonal trends, which impacted the quarter by approximately $100 million. Net income and earnings per share benefited from a significantly lower tax rate related to the release of reserves against certain net operating losses. Our annual results established a new earnings record as well. For the year, our income from continuing operations was $3.9 billion or $6.76 per share. The charts on the bottom of the page provide a good perspective of the strength and consistency of our results. Within our portfolio, the fundamental drivers of our performance were unchanged. The Olefins & Polyolefins - Americas segment benefited from the revolution in natural gas liquids, as well as strong operations. Intermediates & Derivatives benefited from similar attributes, as well as our leading propylene oxide technologies. Our Olefins & Polyolefins - EAI segment does not enjoy the benefits of the U.S. shale boom, but a similar approach to operations in areas of differentiation have contributed to its solid performance. 2013 was a year of repositioning for our Refining segment. Lighter crude dropped in favor during the year and we took steps to be able to process these crudes more efficiently without giving up our heavy sour crude capabilities. Recently, refining margins have improved. During these calls, I don't often mention our Technology segment, but over the years, this differentiated business delivers exceptional results. Technology EBITDA, as a percent of revenues in 2013, averaged 44%. Capital spending was modest and EBITDA grew by 18%. I'll say more about each segment later in the call. Over our brief history, we have methodically moved the company forward by maintaining our focus on our original back-to-basics principles, cost containment and capital discipline. We have accomplished a great deal in just 3.5 years and 2013 was no exception. The next slides highlight a few of our 2013 accomplishments. If you turn to Slide #5 of the presentation, I'll begin with environmental, health and safety performance. Those of you that have followed us know our commitment to this area. The trends on the charts speak for themselves. Our corporate results are consistent with top decile performance. Since 2009, our personal injury rate is down approximately 50% and our environmental and process incident rates have declined by approximately 2/3. For many reasons, we strive to bring each of these metrics to 0. Good performance protects our people, our assets and the communities in which we operate. There is also a financial impact. Safe operations are also normally reliable operations. You see this to be true in our results. On Slide #6, we outlined some of our key accomplishments. In the interest of time, I'll highlight just a few of the many achievements. First, profits reached a record level, as we surpassed last year's record earnings. Our total annual shareholder return was 45%, significantly outperforming the S&P 500. Those of you that have followed us over the past several years know that we always emphasize cost control. I'm proud that for the fifth consecutive year, we offset inflation and maintained flat underlying costs. We expect to do the same in 2014. In the finance area, our strong cash flow enabled us to reward our shareholders, invest in our future and establish a strong investment-grade balance sheet. Some highlights include increasing our quarterly interim dividend over the year by 50%, paying $1.1 billion in dividends and repurchasing approximately $2 billion of our stock. Operationally, we have increased our advantaged feedstock capabilities in both our U.S. and European olefin operations. Almost 90% of our U.S. ethylene production was sourced from NGLs and, essentially, 100% from advantaged U.S. source materials. During the summer, 40% of our European ethylene was produced from advantaged feedstocks. I am particularly proud that, exclusive of our scheduled turnarounds, our U.S. ethylene plants operated at 99% of nameplate capacity, well above the industry average. During 2013, you saw our first significant growth programs come online, the butadiene expansion in Europe and the restart of our methanol plant in the U.S. Our first major ethylene expansion will happen in the next months, well ahead of our competition and at a lower cost. At our refinery, we began consuming more U.S. light crudes and heavy Canadian crudes. On the bottom of the page, we show EBITDA results by segment. We have experienced steady growth in EBITDA. Let's turn to Slide #7 and look at some of the metrics that drove our performance. Across the top of the page, we have plotted our key volumes. I want to focus your attention on our ethylene production. Over the past several years, our cracker operations have been strong, and we've been able to operate in both regions above industry average rates. Our U.S. data represents production after operation of our flex unit, which converts ethylene into propylene. This flexibility added substantial value during the latter half of 2013. Taking into account this ethylene consumption and our planned turnaround downtime, our U.S. crackers operated near nameplate capacity. In Europe, we operated our crackers at 88% of nameplate capacity, approximately 10% higher than the industry average. In the charts along the bottom of the page, you'll see a summary of product margins and spreads. The index charts represent our internal data, while the others represent industry benchmarks. The charts on the left highlight the strength of the U.S. ethylene chain. On the right-hand side, we have plotted MTBE and refining industry spreads. Following an exceptionally strong 2012, MTBE continues to deliver solid spreads. In Refining, the Maya 2-1-1 spread doesn't tell the whole story, as RIN costs, our first quarter turnaround and lower by-product values from coke and LPGs pressured 2013 results. Overall, these charts provide a good perspective of the margin and volume factors that have contributed to our success. Importantly, solid operations and advantage positions have resulted in consistent results, uncharacteristic of most commodity businesses. I'd like to turn the call over to Karyn at this point to discuss our financial performance.
Karyn F. Ovelmen: Thanks, Jim. Please turn to Slide #8, which charts our fourth quarter and full year segment EBITDA. As Jim said, our results have been strong and steady. The fourth quarter generally reflected the trends and conditions that prevailed throughout 2013. In the interest of time, I won't repeat the key drivers but rather will use a few minutes to discuss some of the unique items that impacted results. Seasonality generally plays a role in our fourth quarter results. This year was no exception and versus the third quarter, we estimate the seasonality impact in the range of $100 million, with the primary influences being in oxyfuels and polyolefins. Our O&P-EAI segment was positively impacted by a $25 million insurance settlement related to the 2012 Wesseling polymer reactor explosion. In I&D, we decided to exit our Japanese PO joint venture. The accounting related to the exit negatively impacted segment EBITDA by $26 million. In addition to the EBITDA impacts, our net income benefited from the tax impact related to the release of valuation allowances, primarily associated with our French tax losses. The release of approximately $350 million of valuation allowances represents the bulk of the net income improvement. Together, these items reduced the full year effective tax rate to 23%. Slides 9 and 10 provide a picture of our cash generation and use. During 2013, we generated $4.8 billion of cash from operations while utilizing $3.1 billion to pay dividends and repurchase shares. We also took advantage of favorable interest rates and borrowed $1.5 billion at an average coupon rate of 4.6%. On Slide 10, we plotted a few key aspects of our cash story. Cost management is a strong theme within LyondellBasell, with the goal of maintaining cost in local currency flat to down. Over a 5-year period, our actions offset an estimated $215 million of inflation. Since 2008, our headcount was reduced from 17,000 to approximately 13,300. In the upper right of the page, you can see our capital spending history. During 2013, we increased our capital spending to $1.6 billion, with roughly 50% of the spending in our growth program. We anticipate similar cash fixed cost and capital spending during 2014. On the bottom of the page, we have given you a profile of the annual free cash flow and the cumulative uses of the cash during the past 3 years. Of the more than $12.5 billion of after-tax cash flow, approximately 2/3 went to dividends and share repurchases, with 1/3 reinvested in assets. Since this is the beginning of a New Year, I expect that some of you may have 2014 modeling questions. Regarding capital. We are planning to spend approximately $1.6 billion during 2014. Approximately half of this is targeted toward our growth program. We currently expect cash interest expense to be approximately $325 million based on $5.8 billion of total debt at an average interest rate of approximately 5.6%. Additionally, there should be an estimated $5 million per quarter of noncash amortization. Annual book depreciation and amortization should be slightly higher than the $1 billion incurred during 2013. We plan to make regular pension contributions that total approximately $185 million and estimate an expense of approximately $40 million. We currently expect a 2014 effective tax rate of approximately 29%. Cash tax rate is expected to be approximately the same. In the fourth quarter, we repurchased 8.5 million shares, bringing the total number of shares repurchased in 2013 to over 27 million. We did not recommence share repurchases in December 2013. Our prior practice has been to repurchase shares under a 10b5-1 plan. We tend to be pretty conservative in entering into such plans and did not do so in December. Currently, we do not believe that we are constrained in repurchasing shares and we intend to commence repurchasing shares when permissible after this earnings release. As you may recall, we are authorized to purchase up to 10% of our shares before the end of May 2014 and we have ample cash to effectively execute on that authorization. Of course, various facts, circumstances and marketing conditions can influence our execution. However, we continue to remain committed to returning cash to shareholders in the most efficient manner, including via share buybacks. There has been no change to our capital deployment approach or our financial policies in this regard. With that, I'll turn things back to Jim for a further discussion of our business results.
James L. Gallogly: Thanks, Karyn. Let's discuss segment performance beginning on Slide #11 with Olefins & Polyolefins - Americas. Fourth quarter EBITDA was $883 million, $42 million greater than the third quarter. For the full year, our segment EBITDA was $3.57 billion, an outstanding year. A few specifics will help put the quarterly results in perspective. Relative to the third quarter, our ethylene sales price was relatively unchanged and the cost of ethylene production improved from the third quarter. Our operating rates remained strong during the quarter, averaging 98%. 77% of our production was from ethane, a record level. The differential between ethylene and propylene prices allowed us to profitably operate our flex unit throughout the quarter. This added approximately $25 million to our results. In polyolefins, our polyethylene spread expanded by approximately $0.02 per pound, while the polypropylene spread remained flat. Polyethylene volumes increased slightly, but domestic sales declined during December. We moved a bit more product into the export market during this short period. Polypropylene experienced a seasonal sales decline of approximately 4%. For the full year, results surpassed 2012 by $605 million, primarily due to higher ethylene chain margins. Chain margins improved by approximately $0.10 per pound, approximately $0.04 per pound in ethylene and the balance in polyethylene. As you saw in an earlier slide, production and sales volumes were relatively unchanged. Overall, 2013 was an excellent year. Strong industry fundamentals remain intact. Our crackers operated at almost 100% reliability. We increased ethylene production from ethane and total NGLs and captured value in polyolefins. In January, ethylene margins have remained strong, but natural gas and NGL prices have increased. Heating and power demands from the extreme cold weather in the Midwest and Northeast have created localized spot shortages and extreme prices in some regional natural gas and propane markets. We anticipate that these conditions will quickly dissipate when temperatures moderate. The Midwest propane spike will have some impact on our costs. However, the impact will be partially offset by lower local ethane prices. We do not believe the overall impact will be significant. Meanwhile, our U.S. Gulf Coast ethane costs have increased with seasonal natural gas price increases, but inventories remain high and ethane supply continues to expand. We believe that this winter pressure will be relieved as temperatures rise. When you look past this winter-related volatility, industry conditions remain favorable for U.S. petrochemicals. Natural gas and NGL supply is strong and ethane supply is increasing as Marcellus ethane reaches the Gulf Coast. As a reminder, we will begin the turnaround at our La Porte plant during late March and anticipate that it will last approximately 80 days. During the fourth quarter, we build ethylene inventory in preparation for the turnaround. Let's turn to Slide #12 and review performance in the Olefins & Polyolefins - Europe, Asia and International segment. During the fourth quarter, EBITDA was $115 million. For the full year, EBITDA was $839 million, a $291 million increase versus 2012. Within the business, typical seasonal factors drove a decline in results. Our cost of ethylene production metric increased, reflecting increased naphtha and LPG costs. Polyolefin volumes declined by approximately 4% and 5% in polyethylene and polypropylene, respectively. Our polypropylene compounding and polybutene-1 businesses declined by approximately $25 million. Equity income decreased by $7 million. For the full year, olefin results benefited from approximately $85 million associated with summertime LPG cracking, increased feedstock flexibility and increased volumes. We operated our crackers at 88%, approximately 10% higher than industry rates. Polypropylene compound and polybutene-1 results increased by approximately $15 million due to stronger volumes and margins. Equity income from our joint ventures increased by $53 million, primarily from the Saudi polypropylene joint ventures. 2013 continued to be a difficult year for European olefins industry. However, our value-oriented approach to markets, feedstock flexibility and restructuring activities enabled us to improve performance. We will continue to press these initiatives in 2014, independent of industry conditions, which, thus far, have generally been consistent with 2013. Now please turn to Slide #13 for a discussion of our Intermediates & Derivatives segment. Fourth quarter EBITDA was $354 million, a $73 million decline from the prior quarter. For the full year, this segment generated EBITDA of $1.49 billion, a $129 million less than 2012 EBITDA. The majority of the quarterly decline was attributable to typical seasonal trends in oxyfuels. Results for propylene oxide and its derivatives increased slightly. Intermediate chemical products EBITDA was relatively unchanged. Stronger acetyls and EO and EG results offset a decline in styrene margins. We had 2 important milestones within I&D in December. We closed on the sale of our interest in the NOC joint venture to Sumitomo. This divestiture supports our intention to focus on assets which bring long-term value to our company. In that regard, we also successfully restarted our methanol unit at Channelview in the month. The methanol plant contributed approximately $15 million to fourth quarter EBITDA. The full year 2013 versus 2012 results reflects a similar trend to the fourth quarter analysis in most products. Following particularly strong 2012 oxyfuel margins, the market returned to margins more typical of the fundamental gasoline to oxyfuels blend premium. PO and the other PO derivatives experienced moderate margin decline, reflecting delayed pass-through of increasing propylene prices and industry capacity additions in butanediol. Intermediate chemicals benefited from volume and margin increases and EO/EG, acetyls and styrene. The New Year began with relatively unchanged conditions in propylene oxide and derivatives. Although we believe that the methanol plant restart will contribute throughout the quarter, you should expect the rates will vary as we tune and optimize the operation. Styrene and ethylene glycol margins are somewhat weaker. Through January, oxyfuel raw material margins are relatively unchanged versus the fourth quarter. Let's move to Slide #14 for a discussion of the Refining segment. Fourth quarter EBITDA was $134 million. For the full year, the segment generated $182 million of EBITDA, a decline of $299 million versus 2012. Compared to the third quarter, refinery results improved by $126 million. During the fourth quarter, the Maya 2-1-1 spread averaged approximately $24 per barrel and crude throughput averaged 239,000 barrels per day. Margins at the refinery reflect a greater improvement from the third quarter than indicated by the increase in the Maya 2-1-1 spread. We benefited from a larger increase in our crack spread, moderately improved by-product credits and $24 million lower RIN costs. However, late in the quarter, we experienced operating issues in our cokers. This resulted in reduced throughput and suboptimal yields during a part of December. The estimated impact was approximately $40 million. 2013 was a difficult year in refining. Crude throughput averaged 232,000 barrels per day or approximately 253,000 barrels per day, excluding the impact of our first quarter turnaround. The Maya 2-1-1 benchmark declined approximately $2 per barrel to average $23 per barrel. As I mentioned, the crack spread does not fully explain the story, as low by-product values and $87 million of higher RIN costs provided significant headwinds. Thus far in 2014, the Maya 2-1-1 spread has averaged approximately $28 per barrel. January and February operations will be impacted by the coker issues. However, we have made adjustments to operations and we currently expect the impact on earnings to be less than $20 million. The cokers and refinery should return to full operations during the latter half of February. Let's step back from the details and think about the business environment more broadly. Overall, the fourth quarter and 2013 were record periods. These trends continue into 2014. In fact, the U.S. oil and gas infrastructure continues to develop. Marcellus ethane will be coming to the Gulf Coast through the ATEX pipeline. The crude oil transportation network continues to expand, with projects such as the Flanagan and Keystone South pipelines. These projects should enhance our future position. The methanol plant is a nice addition to an already strong Intermediates & Derivatives segment. O&P-EAI may not benefit from an improved economy or industry conditions, but, internally, we have taken the right steps and our portfolio is generating earnings and cash flow in the difficult environment. We generally continued around safely and efficiently. Our expansion plans are moving forward rapidly. The timely start of our butadiene expansion and restart of our methanol plant demonstrates our ability to execute as we grow our company. Our La Porte expansion is set for execution in the next months. As you can see on Slide #15, we have several more projects in the queue, essentially 1 project every 6 months. We continue to build momentum across the company in 2014. We're now pleased to take questions, Shirley.
Operator: [Operator Instructions] And our first question comes from Robert Koort with Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc., Research Division: It's actually Brian Maguire on for Bob today. Just a quick question on the ethane cracking up to 77% was pretty impressive. Is that a level you think you'll be able to maintain? And is there any upside to that or do you think you kind of maxed out the ability to switch to ethane at this point?
James L. Gallogly: Well, at this point in time, that's a very nice result. As you say, it's about a 7% increase. I think we can sustain that going forward. Having said that, as you know, we're going to be doing some furnace work at Channelview with a couple of new furnaces that allowed to more ethane capability there a little later in the period. We'll have the 2 new furnaces at La Porte very soon. And then, at Corpus, we're expecting to do even more, redoing coils in our furnaces there and overall, longer-term, that number is going to continue to increase.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Okay. Great. And then I know you mentioned the first quarter impact from the refining downtime, but I was just wondering with the cold weather we've had down here in Houston, too, any impact to the operations of the crackers or any of the other plants from the cold weather, any other kind of unplanned outages we might be aware of?
James L. Gallogly: Yes. In the Midwest, we had some snowdrifts at Morris that kept the trains from moving, slowed us down a little bit. If we can't move across the tracks, it's hard to move polyethylene. So that slowed us down a bit. We had a bobble at Clinton as a result of a power outage, back up and running at full rates. And at La Porte, we had a very, very slight bobble. Yes, we've had some weather impacts, but fairly modest at this point in time.
Operator: The next question comes from David Begleiter with Deutsche Bank.
David L. Begleiter - Deutsche Bank AG, Research Division: Jim, a longer-term question. As you look through 2015, you have the major [indiscernible] expansions being done. But what's beyond 2015? In terms of '16 and '17, what types of projects are you thinking about, looking forward to?
James L. Gallogly: Yes. Well, we have a very nice portfolio of projects that you saw in the slide, every 6 months something new coming on. That's equivalent to about a new cracker. Methanol is on, butadiene is on. We're working on our China TBA plant. In that period of time, we haven't announced new things, but we've continued to work on those. We'll announce those in later days as we develop those projects further. In the meantime, obviously, we have a very, very nice growth portfolio and I think we're executing well.
David L. Begleiter - Deutsche Bank AG, Research Division: And Jim, just on the refinery, can you discuss when you expect to get some Canadian crudes down to the Gulf Coast and the impact from those cheaper crudes?
James L. Gallogly: Yes. I think you'll see in the summer more of that crude coming down. We've taken positions on some pipelines to increase our capacity. We expect that to really help the refinery more from the middle of the year forward.
Operator: Our next question comes from Jeff Zekauskas with JPMC.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Can you describe what's going on in the Conway hub? In that, when we look at ethane, propane mix, what we see is that it's selling for a negative value. Is that what you buy it for? Do you buy it and then you return the propane to the seller? What exactly is going on there and how meaningful is to Lyondell?
James L. Gallogly: I think you just answered the question perfectly. It's an upside down market there. As a result of some crop drying, propane had a big demand pull, then we have the extremely cold weather. We have some plants down, some pipeline issues in the area. And as a result, EP mix has kind of been negative and people went the propane back. So it's been very favorable to our operations in the Midwest. I think that's a weather-related phenomenon more than anything else, and that should dissipate. You can already see signs of things coming back in over the last few days and I think it's a short-term phenomena. As we said in our prepared remarks, we pay more for propane in a sense, less for ethane. It should have very modest impact on the results overall. Of course, that's Conway and down in Bellevue, it's a little bit different. Prices [ph] have gone up as we mentioned as well.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. I don't fully understand why your Intermediates & Derivatives business was so strong year-over-year, exclusive of the charge which is in there. Where did the operating income growth come from year-over-year? Was it from 1 or 2 big things or was it from many small things?
James L. Gallogly: I think I'd say that it's kind of a mixed bag. Obviously, for the first time in a long time, we've had some nice styrene margins, which have helped. Propylene oxide is strengthening at the moment, that's been strong. Obviously, we operate 2 technologies, PO/SM, the PO/SM units, and PO/TBA. The PO/TBA were heavily favored units earlier in the year and now with the styrene margin coming up, we're moving additional volumes. We see that one of our competitors seems to be backing down some volumes and as a result, some of our customers are coming asking for more. So that's been a positive. Butanediol has been down quite a bit. We've got methanol online now, that's starting to contribute a little bit. And so EO/EG margins have been good. Overall, it's just a combination of a variety of things. That's a steady business, we've run it well and I think it contributes to our earnings in a nice fashion.
Operator: Our next question comes from P.J. Juvekar with Citi.
P. J. Juvekar - Citigroup Inc, Research Division: So just a quick question on the long-term ethane. Clearly, everyone believes that ethane is going to be long on the Gulf Coast. One of your suppliers is thinking of exporting ethane. And so what is your view on that? And realistically, if that would happen, when do you think, do you have any timeline in your mind when that could potentially happen?
James L. Gallogly: Well, we know that a competitor or 2 is already talking about moving some ethane out of the United States into European operations. I still personally think that's going to be a very limited quantity. When you look at the economics of doing that, the question is, is it good for the short-term or the long-term? And if you're a producer, and I used to be one of those, you don't like to sign up with those kind of contracts for a really, really long period of time. So I still think there'll be a bit of a development there, but I think it'll be a small story personally.
P. J. Juvekar - Citigroup Inc, Research Division: And then secondly, your balance sheet is still under leveraged, very under leveraged, when you look at your net cash position. You've done one bond deal. And so what is your willingness to borrow further either to [indiscernible]?
Karyn F. Ovelmen: We've had a pretty successful launch of the investment grade space with the bonds that we did in 2013 and we'll continue to look at our balance sheet. We do have some flexibility in our balance sheet and we'll continue to work with our board as we go forward. In terms of the cash position, there's -- if you look at our buyback program, coupled with our dividends and our CapEx, there is a use of that cash here in the near term. So we'll continue to aggressively pursue those returns to shareholders. And again, we'll continue to look at our balance sheet and evolve that as we go forward.
Operator: The next question comes from Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Can I just ask, in the press release, you talked about you purchased some ethylene ahead of the La Porte turnaround. I presume that didn't impact your cost position in the quarter but rather it will impact either the first or the second quarter, is that correct?
James L. Gallogly: Yes. Basically what happens is it hurts us a bit in the fourth quarter and then some of that will come back to us more in the second quarter than in the first quarter, recognizing that we've got -- have an 80-day turnaround in front of us. So it's not so much a first quarter, but it's more of a second quarter impact as we sell that inventory back in.
Vincent Andrews - Morgan Stanley, Research Division: Okay. And then you mentioned earlier the ATEX pipeline, I think, is what you're referring to. And obviously, it's a little hard to tell what's going on now given the polar vortex and all that. But as all that goes away and as all that incremental ethane supply comes, how are you guys thinking about sort of the overall SND [ph] balance in Bellevue as we move out of the first quarter into the second quarter and later in the year? And do you think there's potential for ethane to break natural gas parity either for a short period of time or for a more longer period of time or how should we think about that?
James L. Gallogly: Yes. I think -- I generally think of it as parity most of the time, but there'll be times when it does fall under. We've seen that occasionally. It looks like ethane is going to be very, very long. And I think that's why you hear certain midstream people trying to push this concept of ethane exports. They'd really like to see that happen to tighten up the balance. It's yet to be seen. I've said consistently that I'd like to see a slightly higher natural gas price to encourage further drilling. That further drilling will bring with it natural gas liquids, which helps the balance for the chemical players. So I think, overall, it's a bright future. The question is, is it just spectacular or something better than that?
Operator: Our next question comes from Don Carson from Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Jim, a question on Europe. You did about $230 million better this year. How much of that would've been from the butadiene expansion? How much from cost cutting? And what kind of a tailwind do you have as your cost cuts gets larger a lot next year?
James L. Gallogly: Yes. Well, butadiene's helped us some. Obviously, the butadiene spread has been less than people expected this year compared to the prior year. I mean, in the past couple of years, butadiene carried the spread in European cracking, it's not doing that today. Having said that, we set minimum contract prices to ensure a nice return on our project. And so we're exercising those minimum prices and we've had a nice contribution. But I'll tell you that Bob and his team have done a very, very nice job of simply running reasonably well and then pushing value constantly, reducing cost and just trying to improve that spread. So, Don, I'll tell you, it's just a lot of hard work to make that kind of money in the European environment and I think if you benchmark us, you'll see us to be kind of the leading return player in that space and we intend to keep working our cost and keep working our efficiencies and we're a European committed player and we're going to make some money there.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And as a follow-up, on the refinery, I know you've talked in the past that you had to get your operations -- some improvement there before you would look at strategic alternatives. But with somewhat improved operations, a better industry environment and this pending opportunity to bring in low-cost Canadian crude, is now the time to revisit the strategic options for the refinery?
James L. Gallogly: I haven't seen any refineries being sold for significant prices in the last days. And our goal continues to be, let's make that asset perform better. While the fourth quarter earnings were significantly improved, we always look at what could it have been. And frankly, I'm a bit disappointed. We had an operational issue out of our cokers. I mentioned that, I mentioned the impact of that. We could have done better and we'll see a little bit of that here in the next couple of months. Spreads are improving. I think the Refining segment could be a bit of a surprise for people compared to -- well, definitely better than what it was last year, but we're going to keep working that extremely hard. I think one of the stories that's missed is we've also taken out a lot of capital and a lot of cost in that refinery. It's a different unit than it used to be. But again, we've got to operate a little bit better, and when the spreads are there, we've got to run impeccably and we didn't do that in the fourth quarter. And so I'm a bit disappointed in the result.
Operator: Our next question comes from Nils Wallin with CLSA.
Nils-Bertil Wallin - CLSA Limited, Research Division: On refining but from a little different perspective, year-over-year crack spreads were down a little bit, RINs were up and yet -- and then you take out your additional costs, you were actually up on an operating basis in terms of EBITDA. So could you walk us through what really helped you in that segment? Were you able to buy some distressed cargoes?
James L. Gallogly: We always work the cargoes, but I'll say that in 2011, we had an incredible trading year. I would say that in 2013, it was about average. I don't think there's a big story there. We've worked our operational efficiencies, our costs. We had a turnaround in the first quarter. We're able to take some lighter crudes in because we reconfigured our crude unit on the cut points. But I think it's just in the early part of the year between RINs and co-products being incredibly -- RINs being high and co-products being incredibly depressed. We just were struggling to have any kind of margin. RINs are down now in the fourth quarter, there's been a little bit of benefit in co-products and I think the environment is improving and our job is go capture more of it in 2014.
Nils-Bertil Wallin - CLSA Limited, Research Division: Got it. And then just a follow-up. On your slides, you show a nice spread of polyethylene over ethylene margins. That -- we know, of course, that some of your competitors have had issues and continue to have issues. Does that spread, where it is now, sustainable or do you think it could ease once the -- once any of those operational issues get resolved?
James L. Gallogly: Well, there were some instances where our competitors had some significant issues in 2013, particularly in the high density side. Margins expanded pretty nicely there. I'd tell you, in December, the U.S. volumes were a little light, in my view. But we've seen nice demand pull again in January. The market seems to be coming back and we're pressing for price increases. So our job is go capture value in not only the olefin side, but also polyethylene and polypropylene side.
Operator: The next question comes from Hassan Ahmed with Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: On the call, you obviously mentioned that you made $15 million on the methanol side of things. And if I do a back of the envelope, I would imagine that equates to roughly around 50,000 tons. Would that be fair?
James L. Gallogly: Yes. I think so.
Hassan I. Ahmed - Alembic Global Advisors: So keeping in mind, call it, quarterly capacity of 200,000 tons, there could be significant upside from the methanol facility in 2014?
James L. Gallogly: Yes. We had historically said at previous year's volumes, kind of last 12 months volumes, we're quoting a number on $200 million of EBITDA a year. Margins have expanded since then. We'll just see where they end up. But we've got to run it hard and we've been through a few little teething things, but the unit seems to be very capable and we'll see if we don't have a debottleneck or 2 once we get it fully lined out.
Hassan I. Ahmed - Alembic Global Advisors: Very good. Now changing gears a bit. Obviously, there was a special dividend in 2011, another one in 2012 and, obviously, this was during the period when you had certain share buyback restrictions. Just wanted sort of your thought process about share buybacks versus special dividends and the like going forward?
Karyn F. Ovelmen: Yes. So we had some restrictions as it related to buybacks, which were really -- [indiscernible] we have the authorization now to do the 10% in terms of the buybacks over that 18-month period. As you know, we've executed on that. So we're currently focused on really trying to make the most efficient use of that regular dividend. We've continued to grow that over a few years, started with $0.10 back in May of 2011, today, it's at $0.60 with that most recent 20% increase. So a focus on the regular dividend and coupling that with the buyback right now. So that's where the focus is. That's not to say that special dividends aren't an option, but those -- the ones that we did over the last few years were really indicative of the fact that we couldn't exercise on buybacks in an efficient way.
James L. Gallogly: I think it's fair to say that every time we have a board meeting, Karyn, I and the Supervisory Board will discuss what is the optimum plan for the coming period. Share repurchase is around the table, special dividend is around the table and obviously, you've seen us expand our regular dividend very, very rapidly.
Operator: The next question comes from Laurence Alexander from Jefferies.
Robert Walker - Jefferies LLC, Research Division: This is Rob Walker on for Laurence. I guess, in the Americas, in O&P, your polyolefins results EBITDA looked to have grown more in dollar terms than your olefin profits. What drove the improved spreads and is it sustainable in '14?
James L. Gallogly: Yes. I think -- obviously, we had mentioned before that there are certain competitors that had outages that helped. But there is a good steady demand. We exported fairly small quantities most of the year, with a slight increase in December. With that demand, we moved price as an industry. And as a result of that, you saw a nice expansion in polyethylene. I think in previous years, you saw less value than you would -- should have expected in polyethylene. And I think going forward, it still seems fairly snug and we have the ability to export if that's a better option. So we continue to push value.
Robert Walker - Jefferies LLC, Research Division: And just curious to get your thoughts on oxyfuel profits in 2014 as it -- related to -- versus 2013. Should they be up, down or about flat?
James L. Gallogly: Yes. Well, there's a few things that drive that. Obviously, 2012 was a banner year. Butane had just a very, very advantaged position for part of the year and there was an extreme demand pull. Gasoline got longer in '13. We had less butane opportunity. But still, it's a great business. Octane becomes more and more valuable as cars have to have higher and higher mileage. I think we'll just watch and see how butane responds. But remember, we're both in the U.S. and in Europe in production of oxyfuels. So far so good. We'll watch and see what happens, but 2012 was an unusually strong year. '13 was more representative of what's normal, I think.
Operator: Our next question comes from Frank Mitsch with Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Jim, I thought during your presentation, you talked about advantaged feedstocks in the U.S. and I think you mentioned Europe as well. Can you expand upon the position in Europe?
James L. Gallogly: Yes. What we said was during the summer months, we ran about 40% of advantaged feedstocks. What happened is, particularly in France, we're right on the Med [ph]. We were able to bring in some propane, a little bit of butane, this and that. Historically, we had only run kind of naphtha plus in our crackers there, in part because we had a refinery that we operated and we were using that as a feed prep unit. We don't have that issue. We closed that refinery down. We've got a lot more optionality. We'll chase those advantaged feedstocks and, frankly, there were opportunities in the summer that were very strong and we took advantage of them. One of the other things that will start to happen more in 2014, we renegotiated a very, very significant naphtha contract here toward the end of 2013. It kind of handcuffed us in a few of our other facilities where we had contracted from a very long-term historic basis. In the Basell heritage, you remember how that company was formed, we bought naphtha from some of the parent companies of the old days and we were kind of locked in. We build a lot more flexibility in going forward and we'll see what we can do in 2014. We've got more flexibility and if the markets open up, you'll see us try to do more of that, improve our position.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: That's very helpful. Karyn, just to fully clarify. So your average share count is down 4% for Q4 from when you started the buyback. Where was the ending share count? And just to clarify, the intention is, absent anything unusual, that you're going to complete the 10% authorization during -- by May?
Karyn F. Ovelmen: Yes. So the ending share count, it's 549 million shares. But yes, we had the authorization to complete the share back and approval by our board to complete it within 12 months, which would be the May timeframe. Obviously, that's going to be contingent upon other market conditions, that type of thing. But we do expect to execute on that through the end of May.
Operator: Our next question comes from Kevin McCarthy with Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Jim, coming back to your Gulf Coast ethane mix at 77%. Can you speak to the composition of the other 23%? And in particular, what will be your technical minimum on propane these days?
James L. Gallogly: Well, with propane prices going up, we cracked less propane. We've been bringing in a lot of condensate as well and there's been a nice price differential in South Texas condensate. So we can kind of sub in and out on propane and condensates. A lot of that's related to Corpus Christi and Channelview. But overall, the whole feedstock slate has an advantage of some sort, whether it's -- it's primarily ethane today, somewhat propane, although at this moment, propane is a little higher. And then the condensates make up the rest of the mix. And so I'd say 100% kind of advantaged, propane being a little bit less so at this moment.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. I'd just like to follow up on an earlier question about your mid-con crackers in Morris and Clinton. Can you help us understand some of the mechanics of your feedstock procurement there? In other words, are you buying EP mix or purity ethane typically or both of those at times? And in the case where you might buy EP mix, when we see a large negative price, given the recent distortions in the market, is it really a negative price for you or is it the case that you have to return the propane back to the seller and so mathematically it tends to work out to a positive price?
James L. Gallogly: Yes. We basically run an EP mix. But when we say that we want a very, very lean EP mix, and that's generally what we get with limited amount of propane in it, that just seems to work better in our crackers the way we're configured and that's been the advantage that we've had in that region. There's a couple of different pipelines working that area and we've taken advantage of that. There's been some downtime, but we've had no feedstock issues lately. Sometimes, we have to buy out some of the ethane, but I think the comment I made in the prepared remarks about all of this kind of being somewhat neutral to us is probably the best way to think about it. Propane has gone up, but we get some benefit on the ethane side. So overall, it's pretty balanced.
Operator: Our next question comes from Michael Ritzenthaler with Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: I just wondered if you could expound a little bit on the potential for growth within the JV income line item, particularly with your comments on Saudi Arabia?
Unknown Executive: Mike, I'm sorry, I think you broke up a little bit there. Could you repeat that question?
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes, sure. I was just wondering about the JV income line and the potential for growth there in '14, particularly [indiscernible].
Unknown Executive: Okay, JV equity income in '14 and how we see that.
James L. Gallogly: Yes, I think there's upside potential there. Our SEPC joint venture in Saudi Arabia has had nice returns for quite a while, but there's an opportunity for operational efficiency there. We did run better at our Al-Waha facility in 2013 than '12. But even there, there's plenty of room for improved operations. We don't physically run those plants, but one of our goals is to go in and work with our partners in a more efficient way and get those -- get the reliability up. We have nice feedstock margins there and a decent percentage ownership. Our goal is to make those things contribute more to our profitability going forward. And of course, Thailand has got an advantaged feedstock position, ran reasonably well last year, but in a tough market. So we're going to continue to push JV income. I think there's upside there.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Okay. And then just a quick follow-up. On the Technology segment, I know it doesn't get a lot of attention, but the growth has been pretty tremendous. And I was wondering if you could talk about the -- I guess, the industry dynamics behind what's driving that growth and whether that's sustainable over the next couple of years?
James L. Gallogly: Yes. It really gets down to, are people building new plants? There's 2 pieces. In the Technology side, we've got the process side and then the catalyst business. On the process side, we've been the industry leader in polypropylene for quite a while between Spherizone and Spheripol, truly the industry benchmarks. And if somebody's building a propylene plant, they will call us and many -- in fact, I would just say, at most instances, we get selected, because we really have a beautiful technology with nice products. And so we get selected very, very regularly there. We're expanding our polyethylene portfolio. We're working on a new technology there. We've always been one of the industry leaders in tubular, high-pressure tubular, and there's just one other competitor that goes toe to toe with us there and I think we win the majority of those contests. We're looking at a low pressure new technology that, I think, we may build 0 number 001 in the United States. We've talked about that briefly. That may show up in the United States and that should really help us in our licensing effort going forward. The catalyst side is primarily polypropylene catalysts. We have very large long-term highly supported customers and it's good margin business and we keep them happy and continue to make sure that they have industry-leading products. So it's just a nice segment for us, good earnings and something that we drive through Technology enhancement, primarily out of our Italy operation, Frankfurt operation and then a little bit out of our U.S. operations, Cincinnati.
Operator: Our final question then comes from John Roberts with UBS.
John Roberts - UBS Investment Bank, Research Division: It sounds like there are no strategic options available in the refinery, but are there any tactical options there? Is it fully optimized or could you even put new capital in somehow to take advantage of all the changes going on in the crude market?
James L. Gallogly: Yes. There's -- we do not have a hydrocracker at that operation and what we do today is we contract the stream that normally would go there to a third party and we share in the value of that. It always gets the question of what's the return on the hydrocracker and that capital versus other opportunities we have. And so far, other opportunities have been so strong that we haven't chosen to do that. It remains an option for us to put more capital in, to complete the kit. But as I tell everybody, let's run the kit we have perfectly and then you can come talk to me about growing it. But until then, I'm kind of not too interested in hearing about it.
John Roberts - UBS Investment Bank, Research Division: So the project would be above your cost of capital, it's just not higher than the other projects you have?
James L. Gallogly: Well, it's above the cost of capital, but we're putting our capital primarily in U.S. olefins and higher growth projects, and those returns are stunning. The other thing we like to do is return excess cash to our shareholders in share repurchases and -- whether it's special dividends, regular dividends. So we're, we think, very shareholder friendly in that regard. So we're just not looking to go spend money on capital opportunities that exist. We're very, very disciplined. Let me change the format for just a second and ask you all a question. We've been a company since May of 2010 when we entered New York Stock Exchange, and now an S&P 500 company. Did anybody on this call expect LyondellBasell to be where we are today? Obviously, we're tops in safety, tops in reliability, outstanding cost position, held our cost flat coming out of bankruptcy with $1 billion taken out, held that flat now for multiple years. Great growth profile, strong investment-grade balance sheet, strong shareholder return. I'm pretty sure that nobody on this call expected that. And the second thing I'd like to say is having had that performance during that period of time, recognizing the fabric of what this company is, did any of you expect this company to let up one bit going forward? I said in day 1 when I came in 2009, we're going to make this the best petrochemical company in the world. We're well on our way. Some may say we're getting so close to that, it's just a step or 2 away. But having said that, we're not satisfied and we've had great results over that period of time, but there's a lot more to come in this company and we're energized to make that happen in 2014 forward. Thank you for your interest in the company. Thanks for your support.
Operator: Thank you. That does conclude today's conference. We thank you for your participation. At this time, you may disconnect your lines.